Operator: Greetings and welcome to the Intrawest Resorts Holdings’ Fiscal 2016 Year End Earnings Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Liz Derosier, Director of Investor Relations. Thank you. Please go ahead.
Liz Derosier: Thank you. Good morning, everyone and welcome to the Intrawest Resorts Holdings fiscal 2016 year-end earnings conference call. After our prepared remarks, there will be a brief question-and-answer session. I would like to remind you that some of the comments made by management during the conference call contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to vary, which are discussed in our public filings filed with the SEC, including reports filed under the Securities Exchange Act of 1934. We caution you not to put undue reliance on forward-looking statements. Forward-looking statements made during this call speak only as of the date of this call and we undertake no duty to update or revise these statements. In addition, some of the comments made on this call may refer to certain measures such as adjusted EBITDA, which are non-GAAP measures. Although adjusted EBITDA is not a substitute for net income or other GAAP measures, management believes adjusted EBITDA is useful in measuring the operating performance of our business. For a full reconciliation of adjusted EBITDA to GAAP results in accordance with Regulation G, please see our press release furnished as an exhibit for our Form 8-K dated September 8, 2016. This and the presentation that accompanies today’s call are located in the Investor Relations section of our Web site at intrawest.com. Our call today will include remarks from Tom Marano, Chief Executive Officer, and Travis Mayer, Chief Financial Officer. I will now turn the call over to Intrawest’s CEO, Tom Marano.
Tom Marano: Thank you, Liz and welcome everyone. I will keep my remarks brief as our fourth fiscal quarter is a relatively quiet time period for us when our resorts conduct limited operations between the core winter and summer seasons. As a result, I will focus my comments primarily on our full year results and outlook for next season. We finished the year with total segment revenue of $568.2 million and adjusted EBITDA of $113.1 million, exceeding the high end of our guidance range for adjusted EBITDA by $4.1 million. On a same store basis, when excluding the impact of the weakened Canadian dollar and Intrawest Resort Club Group or IRCG, which was sold on January 29, and including 100% of Blue Mountain's results during all periods, our full year adjusted EBITDA grew by more than 11%. Outstanding growth at our Colorado resorts and CMH more than offset the record setting warmth in the east, to drive another year of double digit same store growth. This success reflects the strength of our season pass and frequency product program, the continued impact of our recent capital improvement and the exceptional guest experience we provide. We exceeded the high end of our guidance range as a result of cost efficiencies across the company and robust firefighting in the fourth quarter. For the second summer in a row, our ancillary aviation services had a strong start to the fire season as we flew more than anticipated to support fire suppression activity in Canada. Looking forward, season pass and frequency product sales for the 2016-17 season are pacing well ahead of last year. As of September 4, season pass and frequency product sales were up 16% compared to the same time last year. While we are seeing a modest impact from the challenging weather last year on our sales in the east, sales of our multi-mountain products are significantly ahead of the same time last year. The Kids Ski Free program in particular was very well received and contributed to significant year on year growth in sales. Excluding the free children's units associated with Kids Ski Free, season pass and frequency product sales are up 14% in units and 2% in yield. Sales of the M.A.X. Pass for next season which will be the product's second year, are more than double the sales at this same time last year. We are encouraged by these results which exceed our expected pace of adoption for a new product of this nature. The pass now includes a total of 32 resorts, up from the 22 participating resorts last year offering a total of 160 days of skiing across more than 38,000 acres with no blackout dates. Sales to date support our belief that the past represents a compelling value proposition to Eastern skiers who want to have the flexibility to ski both close to home and possibly take a trip out West. Following a record season last year, CMH bookings for the 2016-17 season are also facing ahead of last year. Sales for winter reservations are over 9% ahead of the same time last year. The current reservations pacing demonstrates the significant demand for this unique experience. We are making good progress with our calendar year 2016 capital improvement at Steamboat and Winter Park in advance of the ski season. We are also excited that another phase of our technology initiative is coming online this season. Leveraging the RFID technology installed at our Colorado resorts this past year, guests will be able to register and reload all RFID media through our new mobile program. The web-based register and reload functionality will allow guests to not only skip the lines to purchase tickets but will also support resort charge, enable management of friend and family tickets, offer a significantly improved user experience and allow us to develop a personalized relationship with our guests. I am also very excited to share that the Winter Park Express Ski Train will operate this season providing round-trip service from Denver's Union Station to the resort. We began construction of a new train platform two weeks ago and expect it to be complete in early December. The Winter Park Express was very popular and sold out in record time when offered for a few weekends in 2015, and we look forward to providing 26 round trips on the 500 passenger train this season. In addition to investing in capital improvements to drive continued growth, we completed several transactions in fiscal 2016 that created value for our shareholders. In January we completed the sale of IRCG to diamond resorts for $85 million or approximately 16 times anticipated fiscal 2016 EBITDA from that business. This accretive transaction improved our liquidity and ability to reinvest in our core businesses while also positioning us to further reduce our leverage. Then in February we repurchased 5.6 million shares of our common stock for $9 per share which represents an approximately 40% discount to the current trading price. An attractive return on invested capital for our shareholders. We also continued to strengthen our balance sheet by prepaying approximately $34 million of our term loan in fiscal 2016. We will continue to pursue all opportunities to grow our business, improve the efficiency of our cost structure and create long-term value for our shareholders. Additionally, we will continue the trend of simplifying and optimizing our portfolio as we did with the sale of IRCG. We are pleased with our fiscal 2016 results and our ability to produce more than 11% same-store adjusted EBITDA growth despite one of the most challenging seasons on record at our Eastern resorts. I believe our results reflect the importance and strength of our season pass and frequency product program, our ability to manage and reduce cost, and the impact of our technology and growth capital investments. We are excited for the upcoming ski season and look forward to building on the success of the fiscal 2016. I would now like to turn the call over to Travis for a more detailed discussion of our segment operating results and our fiscal 2017 outlook.
Travis Mayer: Thank you, Tom and good morning everyone. For fiscal year 2016, total segment revenue was $568.2 million and total adjusted EBITDA was $113.1 million. It's important to note that the U.S. to Canadian dollar exchange rate averaged 1.38 in the fiscal 2016 versus 1.24 in the prior year. The weakened Canadian dollar and associated non-cash currency adjustments unfavorably impacted fiscal 2016 total segment revenue by $27.4 million and adjusted EBITDA by $5.5 million relative to the prior year. As I discuss our fiscal 2016 results, I will reference several same store metrics that were calculated on a constant currency basis, include 100% of Blue Mountain and exclude IRCG during all periods. We believe these same store metrics best capture the true underlying performance of our business. On a same store basis, total segment revenue increased 3.3% and total adjusted EBITDA increased by 11.2%. We exceeded the high end of the guidance range that we provided in February for both revenue and adjusted EBITDA due to stronger than anticipated fourth quarter performance in our ancillary aviation services and by achieving cost efficiencies across the company. In fiscal 2016, mountain segment revenue was $421.3 million, down 1.1% and mountain adjusted EBITDA was $84.3 million, down 5.2% compared to the prior year. However, on a same store basis, non-segment revenue was flat and adjusted EBITDA was down 2.9%. Given the unprecedented warmth at our eastern resorts this season, we are pleased with these results and believe they speak to the importance of the geographic diversification and the strength of our Colorado resorts where revenue grew by 10% and skier visits were up 1.7%, offsetting much of the impact of the challenging weather in the east. Additionally, our ability to deliver same store growth in fiscal 2016 further highlights the importance of our seasons pass program and its ability to mitigate the potential impact of challenging conditions. Our lift revenue from seasons pass and frequency products increased 5.6% in fiscal 2016 and represented approximately 43% of our lift revenue, up from approximately 40% of our lift revenue last year. Adventure segment revenue was $104.4 million, up 7.9% and adventure adjusted EBITDA was $22.1 million, up 66.4%. CMH delivered exceptional growth through a combination of more targeted marketing efforts and favorable conditions throughout the winter. CMH revenue for the year exceeded the prior year by $6.6 million, and on a same store basis it grew by $13 million or 26.2%. Increased fire suppression activities and MRO services drove another $1 million of adventure revenue growth over the prior year and on a same store basis it increased by $6.1 million or 12.9% over the prior year. In the real estate segment, revenue for the fiscal year was $42.4 million, down 28.4% and real estate adjusted EBITDA was $6.6 million, down 36.4%. The decline was primarily due to the disposition of IRCG. On a same store basis, real estate segment revenue increased by $300,000 or approximately 1% and real estate adjusted EBITDA increased by $2.3 million or 90.9%. The growth was largely driven by improved occupancy and ADR at the Westin Monache and Mammoth Hospitality Management which benefited from significantly improved snowfall in Mammoth, California. Net income attributable to Intrawest Resorts Holdings improved by $47.8 million, primarily due to recognizing a $40.4 million gain on the sale of IRCG. Capital expenditures for fiscal 2016 were $51.1 million versus $41.9 million in the prior year. The increase was primarily due to a difference in the timing of growth capital investments. In closing, I would like to provide guidance for fiscal 2017. We expect fiscal 2017 segment revenue to be in the range of $555 million to $585 million and adjusted EBITDA to be in the range of $129 million to $136 million. Slide 6 of the presentation that accompanies this call provides a bridge from fiscal 2016 to the fiscal 2017 adjusted EBITDA guidance range. Our fiscal 2017 guidance ranges imply adjusted EBITDA margin expansion of more than 300 basis points from 19.9% to over 23%. We plan to achieve these margin improvements through a combination of high flow-through on incremental guest visits and yield increases as well as initiatives to reduce the fixed portion of our cost structure. This guidance also assumes normal weather conditions across our portfolio and U.S. to Canadian dollar exchange rate of 1.30 relative to the 1.38 weighted average rate last year. This expectation for a stronger Canadian dollar positively impacts fiscal year 2017 adjusted EBITDA by between $3 million and $4 million relative to fiscal '16. We expect fiscal 2017 growth to be driven primarily by the mountain segment. We anticipate fiscal 2017 mountain segment revenue to be in the range of $440 million to $460 million and mountain adjusted EBITDA to be in the range of $106 million to $112 million. Mountain segment guidance assumes a return to normal weather at our eastern resorts and continued growth at our Colorado resorts, based in part on our growth capital investments and the current strong seasons pass and frequency product sales. We expect fiscal 2017 adventure segment revenue to be in the range of $90 million to $95 million and adventure adjusted EBITDA to be in the range of $17 million to $19 million. We anticipate growth at CMH from the currently strong reservations pace and higher yields offset by return to a lower level of fire suppression activity in our ancillary aviation services, consistent with our flight hours experience since July 1. We expect fiscal 2017 real estate segment revenue to be in the range of $25 million to $30 million and real estate adjusted EBITDA to be in the range of $5 million to $6 million. These estimates do not include IRCG which contributed $2 million to real estate adjusted EBITDA in fiscal 2016 prior to the sale. We expect the net income attributable to Intrawest Resorts Holdings to be in the range of $20 million to $30 million. It is also important to remember the seasonality of our business. The third fiscal quarter remains our largest quarter and we estimate that it will account for approximately 130% of total fiscal 2017 adjusted EBITDA. As we continue to invest in summer activities and growing the offseason, we anticipate that the proportion of our adjusted EBITDA earned during our third fiscal quarter will gradually decrease. We expect the second fiscal quarter to be slightly positive and the first and fourth fiscal quarters to be loss quarters. Based on our outlook for fiscal 2017 and our proven record of driving same store growth, we believe our stock is trading at a substantial discount to the intrinsic value of our business. Even at our current trading price, the midpoint of our fiscal 2017 adjusted EBITDA guidance implies a current trading multiple of approximately 8 times or 7 times after giving regard to the value of our real estate holdings. This is greater than a 30% discount to our industry peers and we believe our stock continues to represent a significant value opportunity to our existing and prospective shareholders. With that, operator, we would be happy to take any questions.
Operator: [Operator Instructions] Our first question comes from the line of Joe Edelstein with Stephens. Please proceed with your question.
Joe Edelstein: Just hoping you can add a bit more detail there to the key drivers around the margin expansion. You said it's really the return to normalized weather. Also the expense controls, if there's any particular areas that you could call out, just maybe by bucket how much each of those would represent, would be helpful?
Travis Mayer: Sure. I think to start with assuming even average conditions in the east, we expect the volume rebound there which contributes substantial growth both revenue and EBITDA in part will help with the margin thing. Separately, just in totality, if we can hit the revenue numbers within the range and particularly towards the top end of the range, the nature of our cost structure is such that we are going to have high flow through on that revenue growth and that will help with the margin expansion. And then completely separately, we are in the process of examining our cost structure. Everything really that doesn’t touch the guest experience or safety with the goal of trying to find actual cost efficiencies. So in combination we are confident that those three things will yield the margin expansion that’s built into the guidance.
Joe Edelstein: Okay. And just the conditions in the east and kind of that flow through, those were the higher components at least in terms of how you get to that 300 plus?
Travis Mayer: Yes. I think those are the bigger pieces.
Joe Edelstein: Right. Okay. And at what point would you get to feel comfortable in terms of putting that real estate into development, really starting to monetize the appraised values that you just spoke to in terms of the valuation. How we should be thinking about that?
Tom Marano: Well, as you know, we have sold some land along the way here and each of those sales have been at a gain. So as we look at opportunities that come to us or in our marketing of the land, you will see parts of that come along the way. We are currently very focused on the master plan and obviously entitlements and permits take some time, so our sense is that what you are really going to see now in the short term is us adding catalyst that will further increase the value and desire of folks to purchase land. Generally, I don’t want to give a time at this point but it is a high priority and prices per square foot continue to move in our direction.
Joe Edelstein: And just in terms of the pricing dynamics that you are seeing in those real estate markets, do you have any stats there that you could share?
Tom Marano: Yes. We are looking at prices that on average are going up 5% to 6%, a little bit higher on some of the higher end product, and that’s on a per square foot basis.
Joe Edelstein: That's helpful, Tom. And at this point has there been any change just in terms of how you guys think about allocating your excess cash, particularly really when you look at your net debt leverage, it looks like that's going to come down closer to 3.5 times really by the end of next year. So just the flexibility that that gives you and if there's been any change in terms of your capital allocation plan?
Travis Mayer: Short answer is no. We certainly are happy about the fact that leverage is coming down. I think on a net basis we are close to four turns right now and as you point out, after next year hopefully we will mid threes. We still think about allocating capital to kind of the highest return and best use. Every year we take a look at our growth capital opportunities, potential acquisitions and real estate development and we will think about deploying it, how it makes the most sense.
Tom Marano: And just to add to that, I think what's exciting about the business is there are plenty of opportunities where we can deploy capital at a mid-teens return. If you kind of look at the market overall, there is not a lot of opportunity for that and our business I think is really attractive in the sense that we have those opportunities.
Operator: Our next question comes from the line of Ben Chaiken with Credit Suisse. Please proceed with your question.
Ben Chaiken: With regard to your season pass, at this point in the year how booked are you, typically?
Travis Mayer: Typically at this point in the selling season we have sold about 50% of what we will sell in totality for the year. So we are about half way there.
Ben Chaiken: Okay. Got it. And then just back to your comment around giving guidance based on normalized weather or normalized skier visits. Clearly the season pass trends give you some insight but what else did you guys -- any other color there would be pretty helpful too. Like what else did you guys do?
Tom Marano: Yes. I think in the east we assume kind of a return to okay average conditions both with respect to snowfall and temperature. We did take into account the fact that there is likely to be a little bit of a snow hangover. When you have bad years like the one we had last year, it takes a little while to get people back in the mood of skiing. So that's contemplated in the guidance. And then here in Colorado and at CMH, very modest assumptions around visitation growth, and then pricing kind of consistent with what we have told you guys in the past, targeting 3% to 4% on those products with some being higher, some being a little lower depending on the product.
Operator: Our next question comes from the line of Chris Woronka with Deutsche Bank. Please proceed with your question.
Chris Woronka: I want to ask you if you expect, I think you mentioned 43% of your lift revenues this past year were from season pass, frequent use, and that was up about three points year over year. Are you expecting a similar increase this year and does that factor into kind of the total revenue EBITDA guidance?
Travis Mayer: It's a little bit difficult to predict that percentage because in part it went up because the revenue from other lift products went down with the challenges we had in the east. So I think at a bigger picture level, we are still focused on growing season passes. Whenever we have the opportunity to sell somebody a pass that is something else and make more money from them, we will continue to be [that] [ph]. We like the certainty it gives us with respect to the winter because they are sold in advance of the season. But I don’t think we have a really firm view specific to next year of what that percentage of the lift revenue is likely to be.
Chris Woronka: Okay. That’s fine. Just to clarify, you are expecting another uptick in the ancillary, the kind of the all-in spend per visit. Is that right?
Tom Marano: Yes. Yes, we are.
Chris Woronka: Okay. Great. Then just kind of curious, after last winter and the tough conditions in the east, have you guys seen any of the, maybe, I guess I would say the smaller players. Is there any kind of distress that resulted from last winter that maybe creates more of an opportunity for you guys to grow?
Tom Marano: The broader answer to that is, yes. Last winter was absolutely horrible in the east and some of the smaller players are under pressure. The question for us is whether or not the smaller players are an attractive bolt-on for us and that’s on a case by case basis. If we find something that we think is an attractive bolt-on and kind of fits in with the nature of our resorts, we would pursue it. But absolutely, it was a tough year. There were resorts that were barely open last year.
Chris Woronka: Yes. That's helpful. And then just as we think about potential, additional potential share repurchases. Is that likely to be more tied to some real estate monetization or can that kind of happen independently. Because I think last year the sale of timeshare helped on share repurchase. Should we make that same kind of tie-in or are those two completely independent?
Travis Mayer: Yes. I think they are separate issues. The last tender we did, we actually did from cash on hand not from the proceeds of the IRCG sale. We have the flexibility to do additional tenders. We got that as part of the fourth amendment to the credit agreement and we think about tenders like any other potential investment or use of cash. We prioritize it against other opportunities at the time and we will continue to do that.
Operator: Our next question comes from the line of Shaun Kelly with Bank of America. Please proceed with your question.
Shaun Kelly: Travis, you split out a lot of helpful metrics for us but one that I was searching for and maybe I missed was, could you just give us a sense of same-store metrics for visitation and lift ticket revenues? Like just trying to get a sense of what the sensitivities were around the shortfall in the east?
Travis Mayer: So for the full year in totality, same store skier visits were down 14%. I don’t have the ticket revenue here, I apologize. As you would expect, ETP went up 16.9% on a same store basis and revenue [indiscernible] went up 13.5%. A lot of that was driven by price and yield growth in Colorado and then the mix of business as well.
Shaun Kelly: Great. Okay. And I think you mentioned just a moment ago, you are targeting a weighted average price increase across the products this year of 3% to 4%. Did I catch that correctly?
Tom Marano: That’s correct.
Travis Mayer: That's right. And that's not necessarily an ETP increase because the ETP is impacted by mix as well. But when we think and talk about prices, we're talking about the actual pricing on the underlying profits.
Shaun Kelly: Right, of course. And then I guess my last big question is on thinking through the M.A.X. Pass and the early results on that. First of all, is it big enough to give us a sense yet of how much your overall season pass mix, or even if you can't give us a number, is it material to the overall season pass mix at this point?
Tom Marano: At this point I wouldn’t say it's very material. The sales are up, basically double for our product at this point in the cycle. We are really pleased with it. As we get further into the season, we might be able to give you more color on that. But it is selling extremely well this year and we are very excited about it.
Shaun Kelly: Great. And last thing would be just the local market in Denver. We keep hearing some pretty positive feedback from what's coming out of there. Can you just give us a sense of what you might be seeing on the ground in terms of local economic activity, behavior? And how much you think that is contributing to some of the early season pass metrics that you are posting?
Tom Marano: Well, the economy here is still very solid. But to be quite honest, I think what is really helping us this year is that we introduced Kids Ski Free. We've gotten an enormous amount of buzz in social media for that, then followed on by the Ski Train, another enormous boost in the media and social media. So I think it's more some of the things we have been introducing and the real value that comes when we put a Kids Ski Free pass out there and make it a pass that parents can purchase, or even other adults who may have kids that are relatives or whatever. It's really the value I think those things we have added to our product that has helped boost the sale. Close to 60% of the folks who bought passes this year from us were new and that's a pretty impressive statistic.
Operator: Our next question is a follow up question from Ben Chaiken with Credit Suisse. Please proceed with your question.
Ben Chaiken: Just one last one. Is there anything you learned last year in terms of your snow distribution that's going to help you this year or anything we should be aware of?
Tom Marano: I would tell you, a couple of things that were learned last year was the approach we took to snow making in Vermont was very smart. We concentrated on a few key areas of the resort and built up a good base. And then I think the second thing that was very helpful was the investments we have made in prior years in Tremblant in snowmaking. The improvements were necessary and they paid off. We were able to recover very quickly up there and have a record up there. And then the last thing and it's extremely important and it's coloring our approach to this year going forward, it's the cost controls. We were aggressive in managing in our cost across the network but in particular at the eastern resorts. And that was really what enabled us to deliver earnings that exceeded expectations on a full year basis by as much as they did.
Operator: Our next question comes from the line of Joe Edelstein with Stephens. Please proceed with your question.
Joe Edelstein: Thanks for taking a follow up here. I know the guidance assumes a normalized weather pattern here, but just in prior years, I'm curious what has been the net effect of La Niña weather pattern. If that's been helpful to you in the past, could actually help you more so in the east, really swing around the performance year to year as you compare against that easier comparison there?
Tom Marano: Well, Joe, I am definitely no Al Roker, okay. But from everything that we see historically and that we read and the meteorologists are talking about, you can expect a colder winter in the north east which will really help us. The ability to make snow is key there and you can expect a colder winter in the northwest. So we are optimistic about it but as everyone knows, it's the weather and we will make the best of whatever we get but we are optimistic that La Niña will be very good for us.
Operator: There are no further questions at this time. I would like to turn the call back over to Tom Marano for closing remarks.
Tom Marano: Guys, I just want to thank you all for joining the call and for sharing your time, and we look forward to delivering great results for 2017.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.